Operator: Good day, and welcome to the InfuSystem Third Quarter of 2024 Financial Results Conference Call. All participants will be listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Also, please be aware that today's call is being recorded. I would now like to turn the call over to Joe Dorame, Managing Partner. Please go ahead.
Joe Dorame: Good morning, and thank you for joining us today to review InfuSystem's third quarter 2024 financial results ended September 30, 2024. With us today on the call are Rich Dilorio, Chief Executive Officer; Barry Steele, Chief Financial Officer; and Carrie Lachance, President and Chief Operating Officer. After the conclusion of today's prepared remarks, we will open the call for questions. Before we begin with the prepared remarks, I would like to remind everyone, certain statements made by the management team of InfuSystem during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed under Risk Factors in documents filed by the company with the Securities and Exchange Commission, including the annual report on Form 10-K for the year ended December 31, 2023. Forward-looking statements speak only as of the date the statements were made. The company can give no assurance that such forward-looking statements will prove to be correct. InfuSystem does not undertake and specifically disclaims any obligation to update any forward-looking statements, except as required by law. Now I'd like to turn the call over to Rich Dilorio, Chief Executive Officer of InfuSystem. Rich?
Rich Dilorio: Thank you, Joe, and good morning, everyone. Welcome to InfuSystem's third quarter 2024 earnings call. Thank you all for joining us today. I'll get things started this morning with an overview of the recently completed quarter. Next, Barry will provide more detail on our third quarter financial results, and then Carrie and I will discuss our focus moving forward and provide additional color around some key developments in the business. So kicking things off, I hope everyone agrees that InfuSystem delivered a very good third quarter. Revenue, profitability and cash flow were all up significantly. The third quarter delivered strong sequential growth with the revenue above $35 million for the first time ever. There was strong year-over-year growth with revenue up 11% from the third quarter of 2023. We delivered improved profitability with adjusted EBITDA margins taking another big step up to 22.3%. And we had very strong cash flow in the quarter, allowing us to pay down debt by $6.4 million and repurchased $700,000 of stock under our buyback program. Additionally, over the last few months, we have signed and launched three new initiatives, each of which has the ability to add to our growth heading into next year. The first of these announced in our press release in August is the new distribution agreement with Smith & Nephew relating to negative pressure wound therapy. The second initiative, which we announced in September, is the exclusive North America distribution agreement entered into by our JV with Sanara MedTech relating to Chemo Mouthpiece. And the third, which Carrie will speak to in a few minutes, is the on-site biomedical services agreement entered into with Dignitana relating to their scalp cooling system, which is used by oncology patients to reduce hair loss related to chemotherapy treatments. These new agreements are excellent examples of how we're expanding and diversifying InfuSystem's business. Generally, this involves taking a device-agnostic and patient-centric approach. Our mission is to increase access to quality health care by wrapping our services around the advanced medical devices and products of our partners. We are the safe, smart and trusted device solutions company, solving problems throughout the treatment cycle, lowering costs and improving results for manufacturers, health care providers, patients and payers. And now I'll turn it over to Barry to walk us through the third quarter results.
Barry Steele : Thank you, Rich, and thank you, everyone, on the call for joining us today. I'm going to focus on two topics, including the main drivers for the current quarter's results and our current financial position and how it changed during the quarter. Now let me start with our financial results for the period. For the third quarter of 2024, our net revenue totaled $35.2 million. This was another all-time record and represented nearly 5% in sequential growth and an increase of 11% over the prior year. The Device Solutions segment led the way, reporting year-over-year quarterly increase in net revenues totaling $1.9 million or 15.3%. The Patient Services segment was not far behind with increased net revenue of $1.5 million or 7.7%. The growth in Device Solutions included a $1.1 million increase in sales of medical equipment, which was primarily attributable to a large sale to one of our rental customers totaling $1 million. Rental revenues made up most of the rest of the increase for Device Solutions and included higher volumes related to a new rental customer added at the end of this year's first quarter. Higher net revenue for the Patient Services segment included increased oncology net revenue totaling nearly $1.8 million or 11% due to higher treatment volumes and strong per billing cash collection results and higher wound care treatment revenue totaling $530,000 or 215%. These increases were partially offset by lower negative pressure wound therapy equipment sales due to a difficult comparison that included a surge in equipment leases in the prior year. Gross profit for the third quarter of 2024 was $19 million, which was $3.4 million or 22% higher than the prior year third quarter. Our gross margin percentage was 53.9%, representing a 5% improvement over the prior year third quarter amount of 48.9%. This improvement was mainly driven by favorable revenue mix involving higher-margin revenue such as oncology and rentals and lower negative pressure wound therapy equipment sales. Selling, general and administrative expenses for the third quarter of 2024 totaled $15.8 million, representing an increase of $1.9 million or 13% as compared to the prior year. The increase, which included higher accrued short-term and long-term incentive compensation and the first expenses related to our information systems upgrade was mainly attributable to increased personnel and other costs associated with higher revenue volume. Adjusted EBITDA during the 2024 third quarter was $7.9 million or 22% of net revenue, which represented an increase of over $1.7 million from the prior year third quarter. The amount also was much higher than this year's second quarter amount of $6.1 million. Turning to a few points on our financial position and capital reserves. Our operating cash flow for the third quarter totaled $9.8 million. This amount was more than twice the amount for the prior year third quarter period and was more than 4 times the amount for this year's second quarter. This increase was due to higher operating income, net of noncash expenses and a reduction in our working capital levels as compared to the prior year period when our working capital increased. The increase for the prior year, you may recall, was partly due to a high amount of sales-type lease revenue for negative pressure wound therapy equipment and due to the growth of a contract asset associated with the onboarding of the GE Healthcare contract. Our net capital expenditures were $2.9 million during the 2024 third quarter, which was higher than the $300,000 that we spent during the third quarter in 2023, but was less than half the amount for this year's second quarter. The amount during the current period was focused on the purchase of infusion pumps needed to support increased volume in oncology and Device Solutions rental businesses and for new negative pressure wound therapy devices needed to support revenue growth for our wound care business, all of which are expected to contribute to revenue growth during the 2024 fourth quarter and beyond. We continue to anticipate that our overall capital spending requirements will moderate as compared to amounts required in prior years as the sources of our future growth will continue to be more weighted towards less capital-intensive revenue sources such as biomedical services, advanced wound care products and from initiatives we have been pursuing to increase pump utilization, including reducing the number of lost pumps. We continue to be positioned well to fund continued net revenue growth with the growing cash flow from operations backed by significant liquidity reserves available from our revolving line of credit, and manageable leverage and debt service requirements. Our net debt decreased by $6.4 million to $27.6 million during the 2024 third quarter and is $1.3 million lower since the beginning of the year. This despite having spent nearly $1 million this year under our stock repurchase plan. Our available liquidity continued to be strong and totaled nearly $47 million at the end of the third quarter. Our ratio of total debt to adjusted EBITDA was a modest 1.15 times at the end of the period. Our debt consists of borrowings on our revolving line of credit with no term payment requirements, nearly three and half years in remaining term and with $20 million of the outstanding balance locked in at below market rates by an interest rate swap having the same expiration. I will now turn the call over to Carrie.
Carrie Lachance : Thanks, Barry. Good morning, everyone. Today, I'll start with a little background refresh on our strategy in Biomed. InfuSystem has long had world-class biomedical service capabilities. This because our core businesses involve owning and deploying a very large fleet of medical devices, maintaining this equipment ourselves saves costs and creates significant efficiencies. Several years ago, an internal study indicated that our then quite small third-party biomedical business delivered ROIs amongst the highest of all of our revenue streams. This launched an initiative to grow that activity, and we soon acquired two small biomedical service companies to expand our capabilities. Then in 2022, we were presented with the opportunity and entered into the master services agreement with GE. That work has further extended our capabilities. And in 2023, our biomedical services revenue increased significantly. We have and continue to emphasize that our goal has not been to maximize the revenue potential of working with GE, but rather to leverage that experience in the national biomedical services network that it allowed us to build to win smaller concierge service deals, higher-margin work, emphasizing our white glove services approach. We are glad to be announcing progress in developing this strategic initiative. Last quarter, we announced the start of a substantial biomedical device remediation project for one of our largest device manufacturer partners. And today, we are announcing another project, leveraging the expanded capabilities. This one is a field services agreement with Dignitana involving their scalp cooling system deployed in U.S. chemotherapy infusion centers. The work we will perform for Dignitana is similar to the work we do for GE under the MSA, annual preventative maintenance and periodic service and repair of equipment in medical facilities, often the same facilities already covered by our existing team of regional Biomed technicians. This is a win-win partnership for Dignitana and InfuSystem. Dignitana gets an immediate and comprehensive solution for its field service needs, obtaining best-in-class, single-source and highly responsive biomedical support. InfuSystem gets increased utilization of its national network with this leading not only to increased revenue, but also to improved margins and profitability in our Biomed business. I'll make one more point before turning the mic back to Rich. Dignitana is the latest example of how InfuSystem is increasingly deploying its platform services model to grow its business by solving complex problems for its partners. Health care companies are increasingly adopting such outsourcing and asset-light models, and that is why InfuSystem is seeing so many opportunities to deploy its platform services. Other recent examples include Smith & Nephew coming to us for a last mile and billing solution for its negative pressure wound therapy offerings and Sanara partnering with us for the initial purpose of extending its advanced wound care products distribution into third-party payer billing channels. Back to you, Rich.
Rich Dilorio: Thanks, Carrie. I'm going to start with a quick update on developments in pain management and then provide color around the recently announced exclusive distribution agreement for Chemo Mouthpiece. On our pain business, for much of the last two years, we sought to communicate two key points about this business. First, while we are seeing more success in pain than at any time in the past, the long-term potential we see in pain has been surpassed by the newer opportunities, particularly those we have been developing in wound care and biomedical services. Second, one thing with the potential to change pain's trajectory is the NOPAIN Act, which requires that a reimbursement code be created for non-opioid alternatives to treat postsurgical pain starting in 2025. We said we needed to see how big the reimbursement would be and how doctors reacted to it. Along with everyone else expecting their business to be impacted by the NOPAIN Act, we are still waiting on final decisions, but the current view is that we will not be seeing a positive impact at the start of 2025. Among other things, the initial regulations define approved devices to include elastomeric pumps and nonelectronic pumps. While we are looking at the possibility of modifying our service offerings to accommodate the initial regulations and feel optimistic about the state of our current pain business and our customers, positive developments in other parts of our business continue to emerge and push pain to the back of the list of priorities. Amongst these emerging priorities is the recently announced distribution agreement with Chemo Mouthpiece. Chemo Mouthpiece has the potential to be a huge opportunity for InfuSystem. The agreement signed and announced in September via our joint venture with Sanara MedTech is a great example of how the JV works and why InfuSystem is seeing more and more opportunities to wrap its platform services around other companies' products and services. InfuSystem is an ideal partner for Chemo Mouthpiece. We already have deep relationships with approximately 2,000 cancer centers in the U.S., and we will begin to leverage our exceptional access to get the product in front of the decision-makers inside these cancer centers quickly. We also have the warehousing and logistics capabilities necessary to support the product, and the team at Chemo Mouthpiece is happy to have a partner with these existing relationships and resources. About the product itself. Chemo Mouthpiece was developed by a cancer survivor that suffered through a very difficult case of oral mucositis and believe there had to be a better solution. That led to his developing his company's product, which received 510(k) clearance earlier this year and received an initial CPT code for reimbursement for the practice in July of 2024. Chemo Mouthpiece is an oral cryotherapy device used to reduce the incidence and severity of oral mucositis in patients undergoing chemotherapy treatments. These painful sores cannot only diminish the quality of life, but can also interfere with patients' chemo treatment by creating difficulties eating, drinking or taking medication, all of which may lead to nutrition and hydration issues and potentially pause their treatment. People familiar with chemotherapy probably have seen that patients are frequently given ice chips to help cool down their mouth during and after their treatment. The intent is to reduce blood flow and thereby reduce the delivery of chemo to the mouth, hopefully reducing the incidence of oral mucositis. Unfortunately, ice chips often fall short in this goal. We are going to distribute Chemo Mouthpiece through our existing sales team in oncology, supplemented by additional resources coming from device solutions and pain sales teams. We have begun a phased approach beginning with the largest cancer centers in the country. This approach will allow us to focus and learn best practices for introducing the products to clinics and physicians. We believe that once providers understand the health benefits and get comfortable with the billing processes and rates, Chemo Mouthpiece will see broad adoption and oral cryotherapy utilizing the product will become common for cancer patients receiving chemo. It's a big opportunity, and we're going to prioritize it with all the effort and focus it deserves. We expect to update shareholders every quarter on our progress as we begin to see customer acceptance and customer reimbursement experience. That said, as we are just beginning to market the product and educate customers on its efficacy, it is far too early today to know how quickly the opportunity will develop and how big it ultimately will become for us. As we finish the year with strong momentum, we are reaffirming our annual guidance for the full year 2024 with net revenue growth estimated to be in the high single-digit range and adjusted EBITDA margin to be in the high teens, exceeding last year's margin of 17.8%. Before we go to Q&A, I would also like to mention that you will see a Form 4 from me as I've put a 10b5-1 in place to sell a small portion of my shares this month for tax planning purposes. I without question, remain as confident as I've ever been in InfuSystem, our strategy and our future. Operator, we are ready for the Q&A portion of the call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time, we will take our first question, which will come from Jim Sidoti with Sidoti & Company. Please go ahead.
Jim Sidoti: Hi, good morning. Thanks for taking the questions. With regards to the GE business, would you characterize that as being on autopilot right now? Or is there a lot more of your attention that's needed to maintain that business?
Rich Dilorio: It's certainly up and running and stable. We've hit all the devices now probably almost twice. Now this is the second full year, which is good news. So it will never be on autopilot. It's a lot of work, right, to manage the team and where they go and how long they travel for. But yes, it's pretty stable. I mean it doesn't take -- the people on this call, it's not taking a lot of our focus, now it's just the team to go execute, which is nice.
Jim Sidoti: And with regards to Dignitana, can you give us any sense on the magnitude of that on the size of that revenue?
Rich Dilorio: Yeah, it's under $1 million. So it's not a huge deal in itself. I think what's nice about it is we get to utilize the existing team that we already have in place, so we didn't have to add people to execute on it. The good news is you should see more of these, both inside GE and outside of GE like Dignitana, deals that range from, I don't know, $0.5 million to $2 million or $3 million, right? They're nice, they're profitable. We can leverage a lot of the team we already have. So this is kind of the first one, hopefully, of many.
Jim Sidoti: All right. And then the last one for me. With regards to cash flow, I have to look back to prior to 2019 to find a quarter where you reported this high of a free cash flow. Do you think this is the trend going forward? Or do you think this quarter was kind of an anomaly?
Barry Steele : What I would say, Jim, is that we certainly had a good quarter because our working capital didn't grow, didn't need to grow because we grew it in the first half of this year. So that element that will ebb and flow of working capital as we grow, the top line will have to increase, and so we'll use cash to do that. But I think one of the other things that is the benefit is that just our profitability at the bottom line is growing our operating profit. And so that's -- we would expect to continue to increase so that element of it will continue into the future and get better.
Jim Sidoti: So it may not be $6 million a quarter, but you expect positive free cash flow going forward? Is that right?
Barry Steele : Yeah. Well, the operating cash flow for sure will ebb and flow, but always has been positive. Free cash flow, depending on how quick we're growing in certain areas, could be negative. For example, if we grew our oncology business in a quarter at 20%, we would have negative free cash flow because we have to buy a lot of devices. But that means that right after that quarter, we'd have really, really good cash flow. So you got to be careful on that free cash flow calculation because the timing of our CapEx and the drivers from what growth we're experiencing has a dramatic short-term impact. But generally speaking, as we're growing the top line, we're definitely -- if you look at our trailing 12, both operating cash flow and free cash flow are growing. And our amount of free cash flow that we get out of the revenue because the capital expenditure requirements are decreasing is improving faster.
Jim Sidoti: Thank you.
Operator: And our next question will come from Brooks O'Neil with Lake Street Capital Markets. Please go ahead.
Brooks O'Neil : Thank you, good morning. Can you hear me okay?
Rich Dilorio: Sure can.
Brooks O'Neil : So I just want to follow up on Jim's line of questioning there. I was a little surprised by the magnitude of equipment purchases this quarter. Obviously, as Barry said, that's going to ebb and flow. But would you expect to continue to need whatever it was, $10 million, $12 million of equipment purchases to sustain the growth opportunity you're seeing out there in that business?
Barry Steele : Yeah. Brooks, the actual equipment purchases this quarter was only $2.8 million. You're probably looking at the full year-to-date number. So it's much, much lower than it was last quarter. Yes, it was much lower than last quarter. And keep in mind, we have to buy devices in advance. So -- and we're still growing. I mean oncology grew nicely. It's like 10% this quarter. So we have to have devices to support that additional growth, which then next quarter, we won't buy devices for that particular revenue we added, and that will then become just good solid new cash flow that we get. So the other thing is that we bought some devices for the negative pressure program. We have the Smith & Nephew relationship that you may recall us talking about. And then even pain management is growing a little bit, too. So we can buy some devices for that business.
Brooks O'Neil : Okay. Makes total sense. Should I interpret -- I was listening to Carrie talk about the Biomed business, which I personally think is very exciting. Should we interpret the comment to suggest that the pipeline of potential future opportunities is pretty robust in that area?
Rich Dilorio: Yeah, I think that's a good way to interpret it. We had held off -- I think we had mentioned on these calls that about a year ago, we were still holding off on other opportunities because we're still trying to get the GE program stable to Jim's point earlier. So now that that's up and running and the team is executing on it and we have our feet under us, now we can go add the Dignitana type of deals as well as other opportunities within GE. That's -- they're still there as well. So my expectation, Brooks, is that Dignitana is the first one you'll see. Actually, we had the pump remediation for a big manufacturer, too. So there's really two in the last quarter or so. We won't get five of these a quarter. They're relatively big deals. But when they come in, they'll be very profitable, easy to execute. The team is already in place. So yes, there is a pipeline of these behind. The magnitude of each deal and when exactly they close, we'll let you guys know and we'll give you some visibility into that as it happens.
Brooks O'Neil : Great. And then the last thing, and I might have missed this, I'm jumping a little bit here this morning. But did you give any parameters on the size of the potential Chemo Mouthpiece opportunity? I think when we talked about it in the past, I was quite surprised at how big that could potentially be for you. I know it's not going to happen immediately, but just want to think appropriately about what the long-term opportunity might be for you in that area.
Rich Dilorio: Yeah. So we don't really have an internal expectation yet that we've talked about. I think if you look at the TAM, it's huge. It's $0.5 billion kind of thing if you just multiply the number of patients that could use it times the price of the device. We think the potential is huge moving forward. What we don't know yet is how reimbursement comes in for physicians, how the customers accept the product, how do patients like it as much as we think they will. So there's still a lot to be done. But the initial reaction and response from customers has been great. So what does that potential mean? I don't know. It's not hundreds of thousands if it works, it's in the millions, but we have a long way to go before we get there. And I think I said in my prepared remarks, as soon as we get information and we start to see that process move, we'll give you guys visibility into that for sure. But it's an unbelievable opportunity just because of the type of product, there's reimbursement for the customer. There is no real gold standard besides ice chips that really just don't work. So all the pieces are there to be -- to have a tremendous opportunity. We just have to see if they all fall into place.
Brooks O'Neil : Yeah, makes sense. Congratulations on a terrific quarter. And thanks for all the information.
Operator: And our next question will come from Kyle Bauser with B. Riley Securities. Please go ahead.
Kyle Bauser : Thanks for taking my question. Maybe just following up on Chemo Mouthpiece there. I know there's still a decent amount to learn here, but any sense to kind of timing on when things could become material? And maybe more importantly, the kind of expected margin profile, right, I imagine it would be accretive to the business or at least kind of in line. Just kind of curious.
Rich Dilorio: Yeah. So let me take those in reverse. So margin should be accretive to our EBITDA for sure, even after we split it with Sanara through the JV. I think on the timing, we expect nothing this year. So nothing in our current guidance is Chemo Mouthpiece related. It will just take us a little while to get customers and get -- sit down with them and get purchase orders. We expect it to contribute not a significant amount next year, but it's not insignificant either, probably a couple of million dollars kind of thing next year if it launches well. It could be much bigger than that. We just don't know. So it will be part of our number next year because by the time we give guidance in the spring, late winter, early spring, we'll have our feet under us a little bit, and we'll start to see what's going on, and we'll put it in appropriately at that point. So it should contribute next year and we just -- we're not 100% sure yet.
Kyle Bauser : Got it. Makes sense. And it sounds like the standard care is just ice chips, there's really no direct competition out there for this product. Is that correct?
Rich Dilorio: Yeah. Ice chips is really the first line of defense against this, and it's why a nurse will come over with a couple of them and have the patient just hold them in their mouth. There are some mouth washes that people can use. A lot of those tend to be kind of after the sores develop. And at that point, it's painful. You have risk of infection. Like I said, there's hydration and nutrition issues. People have to pause or stop treatment. I mean these things are -- it's not just one mouth sore. There's multiple and they're just -- they're not fun. So there really is no good standard of care beyond the ice chips to start. It's the same concept, right? This just does a much, much better job of cooling down the oral cavity and constructing the blood vessels so that the chemo never really gets to your mouth to create the sores. And that's the concept behind it. So we believe in it. We've been talking to these guys for quite a while and we think this could become the standard of care. We just have to see how the adoption is from -- at the practice level. But the opportunity is there. The need is there for sure for patients. This is not a minor side effect of chemotherapy. It's a massive side effect, and it affects almost everyone on chemo. It's not just kind of our core colon cancer patients in oncology. In theory, anyone that's taking chemo could be affected with this.
Kyle Bauser : Got it. Yeah. That sounds good, and a pretty exciting product. So I look forward to additional updates there. Maybe on the margin side of the business, so you're on track to delivering some nice expansion and hitting your goal of close to 18% or north of that for the year. And it looks like most of that should come from margin expansion on gross margin side of the business as opposed to kind of OpEx leverage. We've seen increased third-party payer collections and scale and sales mix. I mean is that fair in order to kind of march towards this goal, which you're doing nicely. It's probably going to be more a function of gross margin expansion over the balance of the year?
Barry Steele : Actually, we don't exactly look at it that way because some of our businesses have quite a bit of variable costs down in G&A. For example, all of our TPP business, we have to spend money as we grow it to improve our volume of -- keep our capacity for billing insurance. So -- but I think there are fixed costs down in G&A that we definitely will leverage depending on what we're growing in. Some of our DME businesses like the rental business has very little G&A. So that's where you could get some leverage. So I think we would look at it more in a positive product mix as we go forward.
Kyle Bauser : Okay, great. I’ll jump back in queue. Thank you for the update.
Operator: And our next question will come from Matt Hewitt with Craig-Hallum. Please go ahead.
MattHewitt : Good morning. Congratulations on the quarter. Maybe just one more question, and I apologize if I missed this, but regarding Chemo Mouthpiece, as it's a joint venture, will you be recording the revenues? Or will you be reporting the operating profit? Or how will that flow through the income statement?
Barry Steele : Sure. It's products coming through the partnership, but we are selling it. So all the revenue will be in our top line. You'll see a little bit of gross margin for us to pay certain bills that we can take on like commissions and things down in SG&A. But then ultimately, the bulk of our profit will be shown on the equity line, the equity investment line with Sanara, a line item that we do not have currently in our P&L, but we'll have in the future as we get revenue on this product.
Matt Hewitt : Got it. Super helpful. And then maybe one, and I apologize if this was asked, but does the outcome from the elections have any impact on your business as you think about a shift in maybe a greater push towards home health care and the needs that are kind of ramping for that sector. Does this election change anything there? Does it maybe put more of a focus on it? Just any thoughts post election on how that could impact your business? Thank you.
Rich Dilorio: Sure. So I don't think the election impacts that. I think COVID had a bigger impact, right? It was already kind of moving that way to get people out of the hospital and then COVID just put a big spotlight that a lot of these patients, not just our patients, but a lot of patients still need to be sitting in a hospital for various reasons. So I think everything was already moving there. I think from an election standpoint, we're pretty shielded to those kind of things. People have cancer regardless of who the President is and who's in the Senate and who controls it. So we're relatively shielded from those types of macro things, which is nice, right? Our business is just our business, and we don't have to worry about those kind of things.
Matt Hewitt : Got it. Thank you.
Operator: And our next question will come from Aaron Warwick with Breakout Investors. Please go ahead.
Aaron Warwick: Hey, guys. Congratulations on the great quarter. I had a question as it relates to the Sanara joint venture. Obviously, people are excited about this Chemo Mouthpiece mouthpiece for a good reason. But just that wasn't the initial product that you guys were talking about with them. Can you give some update as to like how that initial business with them is going, what you expect as we start to turn the calendar to 2025 and the growth opportunities there?
Rich Dilorio: Sure. Aaron, so I think with Sanara, there's three pieces to that JV. To your point, the initial products, the BIAKOS and HYCOL, which are the antimicrobial and the collagen product. I think it's going great. We have those as part of our Advanced Wound Care product line. That's how kind of we refer to it internally. So it's not just those two. Those two are phenomenal products and a piece of it for sure. But there's a lot of products that patients need to treat their wound. So we -- if you look at wound care for us, there's the BIAKOS and HYCOL, there's other products needed to treat the wound and then there's negative pressure kind of all mixed in. But in addition to that with Sanara, they brought us Chemo Mouthpiece, they brought us Radiaderm, which we talked about, I think, in August to treat radiodermatitis. And then there's obviously the third piece, which is their Tissue Health Plus initiative that I think is launching next year. So the relationship is as good as it's ever been. Those guys are phenomenal at finding these types of products and opportunities. But the good news is, at least in Advanced Wound Care and with Chemo Mouthpiece and Radiaderm, those are all either already launched or launching and all growing, which is nice.
Aaron Warwick: And how much have those contributed to 2024? And what do you expect in terms of growth opportunities within 2025?
Rich Dilorio: Yeah. So they're going to contribute quite a bit next year. We expect Wound Care to grow considerably. We're still working through the budget process now for next year, but it should be a big part of -- our growth will be in Wound Care, if not the majority of it. I think in 2024, the Advanced Wound Care piece, they've done a really good job. Our team has done a good job of replacing that lease revenue we had from 2023, which was a few million dollars. So they had to overcome those comps, which they have, and it will grow beyond that. So that business as a whole is still mid- millions, right, $5 million, $6 million, $7 million in '24, but that should more than double next year. That's the expectation.
Aaron Warwick: Great. Yeah, that's what I kind of thought based upon your previous guidance. I just wanted to clarify that since you had such a strong quarter, and it sounds like there's some huge opportunity in 2025 there as well. So that's great. And then in terms of the margins, really impressive EBITDA margin, what should our expectations be? I mean, I see the guidance for the year. Obviously, there were some -- it was weaker than that in the previous quarters than we had in Q3. But on a go-forward basis, is there going to be that kind of inconsistency with the EBITDA? Or should we start to see it get more in that 20% range moving forward or higher even?
Barry Steele : Rich, I will take that?
Rich Dilorio: Sure.
Barry Steele : Yeah. So yeah, definitely, we were higher this quarter. As we look at the guidance, that sort of implies basically just slightly beating last year, which was 19-point-some percent. We would point out that it is very typical for us to be lower in the first quarter generally because the way the business works, there's some seasonality to how we get paid and how much revenue we can book on oncology and other TPP-level business. And we have some expenses that sort of are heavier in the first quarter. So you should always look for the first quarter to be a little bit lower than, say, what we just reported in the third quarter or even the fourth quarter.
Aaron Warwick: Thank you.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Rich Dilorio for any closing remarks.
Rich Dilorio: Thank you, Joe. I want to thank everyone for participating on today's call, and we look forward to our call to update everyone on our results for the fourth quarter and full year in the spring. Thank you. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.